Operator: Good day and welcome to the Outfront Media 2015 Fourth Quarter Conference Call. At this time, I would like to turn the conference over to Gregory Lundberg. Please go ahead.
Gregory Lundberg: Good afternoon everyone. Thanks for joining our 2014 fourth quarter and full year earnings call. On the call today are Jeremy Male, Chairman and Chief Executive Officer; and Donald Shassian, Executive Vice President and Chief Financial Officer. After today’s prepared remarks, we'll open up the lines for a question-and-answer session. A slide presentation to accompany today's call can be found in the Investor Relations section of our website at outfrontmedia.com, along with the earnings release and an audio webcast of this call. This conference call may include forward-looking statements and relevant factors that could cause actual results to differ materially from those forward-looking statements and that are listed in our earnings release in Slide Number 2 of the presentation and in our SEC filings. In addition, on this call we'll refer to certain non-GAAP financial measures and when we say OIBDA we’re referring to adjusted OIBDA. Please refer to the appendix of the slide presentation and our earnings release for the reconciliation of this and other non-GAAP measures to GAAP financial measures, each of which can also be found in the Investor Relations section of our Web site With that, I will now turn the call over to Jeremy.
Jeremy Male: Thanks, Greg, and good afternoon everyone. Let's begin on Slide 4 of the presentation, which are the key highlights for the quarter. We are pleased to report that fourth quarter organic revenue was in line with our expectations. I am also very pleased to report that we also successfully integrated the Van Wagner acquisition into our business, listing our reporting revenues 15% which is right where we expected to be when we announced the transaction back in July. Our performance during the second half as allowed Board to offer out a special top up dividend of $0.06 that represents our 100% payout of distributable REIT income in 2014 that we led out during our IPO process. And as we look at prospects for 2015, we’re up to a good start and we are confident that our business is poised to continue growth. Reflecting the underlying strength of our operations, I am pleased to report that our Board has authorized the 4.6% increase in our regular quarterly cash dividend. 2015 is an exciting year for us with the business in the process of executing on several of our growth strategies that we discussed with you during the IPO. Importunately, this includes significant development on the digital side of the business. In the future, when we say the word digital, we mean something very different from simply digitizing roadside billboard. As you’ve seen in some of our recent announcements, we’re developing new technology platforms to connect, transact and interact with both consumers and our advertising clients. This means that digital will become increasingly integral part of our day-to-day operations on the backend and we’ll also start appearing you as consumers in our markets as we move forward. One of the first places you likely to see that is in our Transit system where we’ll be bringing dynamic content to our audiences on state-of-the-art new screens. Transit remains a strategic part of our business as it allowed us to deliver young urban affluent audiences to advertisers. And with this in mind, we were pleased to announce the recent renewals of our Transit contents in both Miami and Atlanta. We believe our digital strategy will be significant additive to our Transit relationships as we bring advertising and communication to mute dynamic levels. Advances in digital rules have helped our company and indeed the other prime industry benefit increasingly from advertising dollars currently flowing to online media. We continue to believe that we can shift advertising dollars to out-of-home. Before I come back on and talk about this in a bit more detail I'd like to turn this call over to Don, who will take you through our fourth quarter and full year financials.
Donald Shassian: Thank you Jeremy and good afternoon everyone. Please turn to slide 6, which shows the summary of our year-over-year performance of net income, EPS, funds from operations or FFO and adjusted funds from operations or AFFO for the quarter. As you will want to recall we began our operating as a REIT on July 17, 2014 and we’re closing the acquisition of Van Wagner on October 01, of last year. this table adjust for onetime expenses such as restructuring charges and acquisition cost as well as what the taxes would have during the year if we were a REIT for the entire year. As you can see our REIT comparable results were net income of $34.2 million, diluted EPS of $0.28, FFO of $82.1 million and AFFO of $79.1 million, those metrics will then compared to 2013 on a REIT comparable basis reflecting improvements in every category year-over-year in particular AFFO which is up 13.5%. Let's turn to slide 7 for a consolidated revenue and OIBDA. Revenues were exactly in line with the expectation we communicated to you back in November which was for flattish performance in the fourth quarter excluding the Van Wagner acquisition. Including acquisitions reported revenues were up 14.9%. Please note we're introducing the term organic revenue and are reporting this quarter. Organic revenues exclude revenues associated with significant acquisitions and divestitures, business lines will no longer operate and the impact of foreign currency exchange rates. So organic revenues in the fourth quarter therefore exclude the Van Wagner part of business, excludes the impact from other significant acquisitions, reflect the 2013 on a constant dollar basis and all to remove the Los Angeles street furniture business that we sold in November 2013 and GameStop which is a business that we exited in April 2014. On an organic basis, consolidated billboard revenues were up 1% in fourth quarter, while Transit was essentially flat. We'll discuss these in more detail when we look at the segments in a moment. Before I turn to bottom chart and talk about OIBDA I'd like to comment on expenses. Total expenses including operating expenses, SG&A and corporate were up $35 million in the fourth quarter relative to prior year excluding stock-based compensation expense. Included in the quarter our expenses laid to the Van Wagner businesses of $38.9 million as well as incremental standalone expenses of $5.4 million. The building up our organization as a standalone company is now complete. OIBDA on a re-comparable basis increased 15.1% and margins was 30.5%, these amounts include $16.3 million in the Van Wagner acquisition and exclude $5.4 million of incremental standalone cost that did not occur last year excluding Van Wagner and incremental standalone cost, OIBDA in the quarter was essentially flat. Please note that we will continue to report organic revenues on a quarterly basis that will give you a view to the inherent strength of our underlying revenue streams as well as isolating revenues related to acquisitions and divestitures. We will now however be providing OIBDA specific acquisitions like Van Wagner on a quarterly basis. Once in entirety, like Van Wagner has been fully integrated we’re no longer able to isolate and identify specific expenses related to acquisition and as Jeremy mentioned earlier Van Wagner is fully integrated now and accordingly separate reporting of OIBDA related divestment of assets is no longer possible. Our U.S. segment results which were 90% of our revenues during the quarter on slide 8, total U.S. revenues were up 17.8% on reported basis reflecting acquisitions and were up 0.5% on an organic basis in the quarter. In billboards, fourth quarter same-board yields were up slightly, both static same-board yields essentially flat and digital same board yields up low single digits. Positive yield growth remains an important driver for us and we're working to maximize the revenue of each and every display and make sure that displays delivering the best audiences are marketed accordingly. In terms of revenue mix, local advertising performed well but was offset by continued softness in national. This was seen particularly in Transit & Other which was down slightly in total. OIBDA growth in the U.S. of 18.9% on a reported basis reflect the $16.3 million of OIBDA from Van Wagner I just mentioned, which is consistent with a level we communicated to you last summer, when we announce the acquisition and also reflects $2.6 million of incremental standalone cost excluding Van Wagner and these incremental standalone cost, OIBDA was up 3.2%. On slide 9, you can see the reported international revenues were down 6.8% due to foreign exchange rates organically, they were up 2.4%. The billboards of 1.3% and transit another up 6.7% looking at the regions in detail on a constant dollar basis Canada which is run half of the business was up 1% North America well a small part of our business was again up strongly on Mexico was down just slightly. The better international revenue equivalent was offset by both geographic and business segment mix resulting a lower margins and OIBDA growth. Turning to slide 10 capital expenditures our spending the quarter was $20.6 million including $7.9 million of maintenance CapEx and $12.7 million of gross CapEx. During the quarter, we added 26 digital boards in total including two internationally. This brings us to 139 new build for the year. As of December 31, 2014, we have 559 digital boards in total with 511 in U.S and 48 international. With the year our total capital expenditures were $64.2 million great in line with our guidance of $65 million 2014 totaled maintenance CapEx of 22.3 million as 1.7% consolidated revenues and growth CapEx of $40.9 million was 3%. International CapEx was $5.1 million for the year. Our 2015 guidance for total capital expenditures is $70 including the $30 million of maintenance and $40 million of growth. This includes our assumption of 100 new digital billboards as well as investments in smaller scale digital displays or ups as upgrade an information technology enhancement. Please turn now to slide 11 or further analysis of our FFO and AFFO for the fourth quarter of full year. This slides shows both FFO and AFFO on a REIT comparable basis to equalize the number of items. The impact of incremental standalone cost, the impact of interest expense related to our January 2014 debt offerings the impact of one-time transaction and financing cost, the impact of restructuring charges related to severance, the impact of our non-cash differed tax reversal and the impact of taxes that we would not have incurred if we have been operating as a REIT for all period presented. On adjusting for these items, REIT comparable FFO was up 7.6% compare to last year’s fourth quarter and REIT comparable AFFO was up 13.5% at the same period. On a full year basis, 2014 FFO and AFFO on a REIT comparable basis were up 3.2% and 2.2% respectively over 2013. The high close towards OIBDA to AFFO, we expect improvement in AFFO per share as our revenue initiative drive top line result. Please turn to slide 12 on dividend, as Jeremy mentioned earlier we are very pleased to announce two dividends today. First, the special top up dividend of $8.2 million or $0.06 per share. Secondly, a new quarterly dividend of $46.4 million or $0.34 per share. In like of the stock purchase dividend last December I think it's important for me to walk you through these dividends in more detail by focusing on four separate items. The first important data point is the E&P purging special dividend on December 31 of last year. The stock portion resulted in 16.5 million new shares being issued in addition to our 120.1 million outstanding. Second in terms of 2014 top up let me refresh you what this is free IPO we set $44 million as our quarterly dividend level and we'll provide a competitive market return and also represent a bulk of our 2014 QRS distributable income. As we concluded 2014, the variations in advertising markets and if how dollars float in our curious and curious businesses all have an impact on a final calculation of QRS tax to taxable income with the approximate six month period and we are REIT at latter half to 2014. A $0.06 per share dividend we declare today represents the balance of that income and represents a 100% distribution of both QRS, tax return and taxable income for the period July 17 through December 31 last year. Clearly there is no way to know at this time would our payout will look like precisely in 2015 and if any of it must be paid in 2016 as a 2015 top up. So please keep in mind as we talked about in the same Van Wagner call and last earnings call that call and last earnings call that Van Wagner lowers our overall QRS taxable income. Due to tax depreciation and interest expense related to transaction it's offset the incremental OIBDA. I think total dividend paid in excess of 100% of QRS tax return taxable income is absolutely fine in our view. As long as total cash dividend paid or the reasonable payout ratio of AFFO and free cash flow appropriately reward shareholders and still give us ample opportunity to deliver the balance sheet through debt pay downs to deliver the balance sheet through debt pay down. We mentioned earlier we paid a regular quarterly dividend of $44.4 million last year this amount is being increased by 4.6% to Q1 2015 to $46.4 million. On a per share basis that is $0.34 per share or a 4.6% increase over the proposed courage 2014 quarterly dividend rate of $0.0325 per share. As you can see in the chart our regular dividend payments in 2014 were $44.4 million per quarter for Q2 through Q4, in terms of payout ratio at 2014 quarterly level of $44.4 million on an annualized basis would have equated to 63% of re-comparable AFFO in 2014. Outfront Media will always be a shareholder friendly company and as such we believe that this new level is sustainable and allows us to balance the technicality of our business with our goals of de-levering the balance sheet to our target range of 3.5 to 4 times by the end of 2016 as we previously indicated. We can see our balance sheet profile on Slide 13 as of December 31, at quarter end our weighted average cost of debt was 4.6% and our consolidated total leverage ratio as defining our credit agreements was 4.7 times. Our liquidity position was $433 million at the end of the year including an undrawn $404 million revolving credit facility, net of $21 million letters of credit outstanding. I will note that we used the portion of this facility in the first quarter for upfront municipal payments and for normal seasonal cash management purposes. Overall, we’re very comfortable with our balance strength and liquidity and expect to further de-lever to our target range with a combination of increased EBITDA and debt pay down while maintaining a healthy and growing dividend. Now let me turn this back over to Jeremy.
Jeremy Male: Thanks Don and we’ll now turn to Slide 15. Firstly let me take a moment on our business outlook for the first quarter. At this point, national trends in Q1 look somewhat improved and our current total revenue growth expectation for Q1 is to up in the mid single digit range. As usual, this outlook represents our view at this point in time and is on a constant dollar basis. Please note that it also includes revenues attributable to the Van Wagner assets for both periods and these assets are performing well having revenues to the primarily driven by national advertising, So we’re off to a good start and we’re having some productive conversation with clients and agencies and continued to feel better about 2015 while exiting 2014 in terms of attracting more revenues and new advertisers to our company. Talking to advertisers, this is worth acknowledging that there is still a bit of economic and political uncertainty out there which may make them more cautious this year in how and when they laid down their marketing budgets. That said, it’s very good see Q1 in positive territory. Thinking about the rest of the 2015 is worth noting that 2014 was an unusual year for out-of-home in the U.S. Think of the long-term, there has been a strong correlation between GDP and out-of-home spending with our industry generally performing around 2 point above GDP growth. In 2014 this relationship didn’t hold up. The U.S. out-of-home industry will likely pose 2014 growth of around 1% compared to U.S. GDP of 2.4%. Now some of question whether this is a secular change driven online, but we don’t think so. Going back to 2004, out-of-home had a 3.5% share review as media spending and online 6.2%. According to Magna Global, in 2014 they estimated out-of-home market share at 3.9% and online of 30%. The out-of-home has still steady grown its share despite seismic change in the media mix. As I’ll discuss in a moment, there are many advantages that out-of-home brings where the mobile advertising that we think spreads well for out-of-home’s future. Given the dislocated performance in 2014; however, there is a mixed view on 2015 amongst some industry observers. For example ZenithOptimedia began this year with a 3.8% growth projection for U.S. out-of-home while Magna Global was looking for out-of-home growing at 3.6% and all media growing around 3%. As you may have seen last week Magna maintained its total media market view but reallocated the mix with out-of-home now projected to grow around 1%. Obviously time will tell that is seen on the basis of Outfront’s quarter outlook and on the basis of company reporting so far industry growth is doing somewhat better than this. I now want to take a moment to give you a bit more color on our digital strategy and plan for this year. This is not something I want you to model in a significant in 2015 revenue but we believe our digital investment in new technologies is to truly against the change how we operate and how we help clients. First of all we got a great underlying business and static displays, it’s the [bed rock] what we do and we’ll continue to be a hugely important medium for advertiser for many reasons. It’s low cost ubiquitous and highly effective. As I’ve said before, you can’t flick through time shift turn the page or turn off our billboards. However, there is an undeniable shift of advertising dollars to online and we as an industry and certainly as a company need to position for that, to do so, we’re looking harder enhancing our medium through more advanced digital out-of-home displays. We’re able to do this now because of technology improvements such as cloud based content, [app] driven displays, while it's addressability and high quality low cost hardware. This will allow us to design and build dynamic and scale advertising networks from end-to-end. Advertisers will be buy these displays as easily as they buy mobile screen or webpage and they will do so because the single set of audience criteria around the specific campaign target. Outfront Media is already taking the steps to realize this goal, we announce the technology partnership at the end of last year to bring new display hardwares in market with an intelligent data analytics engine and dynamic software architecture. By the end of this year we starting to deploy this new technology and also enhance the content distribution to our existing digital displays. We believe that this ultimately will drive incremental industry growth in the future and open up the possibility of entirely new out-of-home market opportunities for the benefit of our shareholders. In summary, 2014 was a momentous year for our company excluding the IPO to CBS, split-off, reconversion and significant M&A look confident to well executing on all the right steps to grow and enhance our business to the benefit both our clients and our shareholders. So, with that operator let's open up the line for questions.
Operator: Thank you. [Operator Instructions] We will go first to Ben Swinburne with Morgan Stanley.
Ben Swinburne: Good morning, I have two questions. First, Jeremy, can you talk a little bit more about the acceleration in the first quarter maybe U.S. flat, billboard, Transit any sort of color, I know the movie business is a big vertical for you and the Box Office is off to a good start this year, so you're seeing any tailwind in that category particular and I have a follow up for Don.
Jeremy Male: So, as we look at -- it's pretty much across the board, across all of our properties. Transit’s doing particularly well in Q1, as I said on the call, national advertising is looking good. Last year - movies is one of our core performing categories and we certainly expect to looking at the slight this year but it's going to bounce back for us so that's definitely good news. So, I guess the answer is pretty much across the board, national bank Transit doing particularly well.
Ben Swinburne: Great, it's good to hear and then Don, can you give us a little more on the AFFO outlook, I don't know if you can give us some expectations you have in terms of growth rate to our per share and you've to sort of other cash items that - CapEx but if you have any color on things like cash taxes and any other cash items to keep in mind as we think about AFFO growth?
Donald Shassian: Okay, thanks Ben. And at this point we're not giving AFFO guidance we're most comfortable providing with the revenue outlook for the coming quarter and we do understand AFFO is very important measure for us and from compensation has annual target set of again that so we're obviously - and later in the year we may revisit providing a few of annual AFFO expectations. CapEx guidance we've given you total CapEx and we've given you maintenance CapEx -- range I think we've posted -- and it were approximately about $20 million and I think that probably only the piece of interest you can probably pick off pretty easily and the other piece for us is commissions, the capitalization commissions you can see that picked off from our interest savings I think with those pieces you might be able to build that yourself. Most importantly I'll also point to the earnings release to the schedule in the back and the back of presentation we've done a reconciliation of OIBDA's AFFO that I think will -- I think it's an easier way to think about build up versus doing it from net income and I think with those pieces that are available and what we're just communicating you can probably get there.
Operator: We will hear next from Marci Ryvicker with Wells Fargo.
Marci Ryvicker : I just want to dig deeper into national I know you said Transit is looking better is national actually up on Transit and billboards in the first quarter? That's my first question and secondly, how focused are you on the other REIT industries that you may not yet be a part of? Thank you.
Jeremy Male: Thanks Marci so I'll take the first question. The Yes National is up when you look across our Transit and billboards and businesses, it's probably worth making the point as well that with the Van Wagner assets as we talk you at the time they were much suppose towards national. So, originally three pre Van Wagner we were around 40% national now that sort of moved up to 45% so that's definitely a good thing for us. If we start in this of sort of looking at the trends I prefer not to sort of comments a little bit earlier I don’t think we get too much from the start looking at vertical on a quarterly basis. So simple answer is yes it is up in transport and billboard.
Donald Shassian: And the question about the negative industries we are off seeing and another add of own company offers in and we continue to have a great dialogue with the investors. What happens with getting to the R&D I think time is going tell I think there is a continual education but we continue to have a very strong interest we continue to have a great dialogue education getting familiar with our business the stability of our business the predictability of our business we'll see how things play out I think it may take a lot of time to prove that one to happen. But we're encouraged by the continued dialogue and strength of interest we have.
Operator: [Operator Instruction] We'll go next to Alexia Quadrani with JPMorgan.
Alexia Quadrani : Jeremy just looking back to some of the comments you made earlier about this year shift the potential share shift to add how in from may perhaps from TV. I guess any more color where you may be seeing that certain verticals more receptive to making that leave versus other that are holding back and I guess still staying along those lines I mean obviously this looks like more of an national share shift then a local share shift and I guess getting a bit further color in why you could have thought or reversal or sluggish national last year versus in the local and why that necessary is reversing on this year.
Jeremy Male : I guess a couple of one and I think if we look at generally advertising last year and I don’t think it was a strong for mostly the earn. I think we sort of we caught tailwind of that I think what's really interesting now when you sort of look around and our both and you see apple there and you see Google and you see YouTube and you see snap shot. You're seeing some great brands that they're realizing what out-of-home couldn’t do for it, if we think on a sort of trailing 12 months basis. I was sort of thinking about in terms of dollar last year our categories were up so they're starting at the top kind of healthcare to TV retail was up and really state was also strong. Last year in terms of main categories were down. We were down in beer and liquor that was a difficult category for last year we’re down in telephone utility and to be fair that was I think we will know that was principally driven by changes strategy by one particular advertisers and movies without. So that’s a sort of shape of what's being going on a 12 month basis. I think I honestly believe that 2014 was a one-off I think there is the longer trend that I talked about on the call is really what we need to focus on I see absolutely no reason why out-of-home can’t continue to growth share in the U.S market. We're remembering again that around 4% is significantly lower than the international share that out-of-home has internationally and up closely to 7%. So I think significant opportunity there and I believe that we're placed and we've got the right strategy in order to be the leader driving that change in U.S out-of-home.
Alexia Quadrani: And here is the decision might got there is that one vertical that has to make that more to make it notable is it the ad agencies that may be are necessarily giving that as making decision going advice our client or this is just broad based kind of move.
Jeremy Male : I think one of the strengths of our business strength of out-of-home is just how broadly based our medium one over reliant on one category and when you drill into it you go around 90% of the top 100 advertisers using out-of-home it's just when you drill into that top 100 it's really just the shares really bounce around a bit. The average top 100 spend on average of 2% of their dollars on out-of-home as it goes to 4%; so, actually under represented within that you've got some advertisers such as apple spending over 10% of advertising dollars in out-of-home. I do think that part of it is actually getting and having real media conversations with clients and agencies back top by good data which the industry now has I don’t think that as in industry we've been as a speck of is that as we should have been in the past and it's certainly something that were trying to change in terms of how we're restructuring our sales force. I think just going on from some of the other comments I made. When we were talking some of the benefits from that; one benefit from if you like making out out-of-home to find we’re talking about that sort of again the possibilities to have much more seamless trading of our media will be the fact that actually it will release ourselves our sales teams to be spending more times with agencies, agencies and clients. So I think that will be an important piece of it and that certainly what we’ll be working hard on this year.
Operator: We’ll hear next from Tracy Young with Evercore Partners.
Tracy Young: I just want to say thank you for providing this non-GAAP reconciliation for OIBDA to AFFO as media analyst beside that I had two questions, one is related to the digital business, when you talked about the growth, can you talk about where that you saw the increase related to occupancy rate? And then also can you provide an effective tax for 2015? Thank you.
Jeremy Male: Digital business, we do not manage this business by occupancy versus rate. We are trying to maximize yield which is the combination of the two. So our digital revenues have grown because we’ve had conversations of static to digital but most importantly our yield on digital board same board in fourth quarter of last 13 and fourth quarter of 14 of same digital board that average yield is up which is great, which means they were being judicious about our deployment were being very smart about our pricing and our utilization of those boards and I think that’s great and we’re trying to be careful at -- as you know our deployment of digital board is not as significant maybe as some others in our industry we’ve been judicious and placing in those and it will continue to be very smart about our placement because you don’t want to come out size of risk your boards and the area, so we feel pretty good about that of what we’ve been doing and continued to very judicious about it. I think tax rate, trade setting the best scenario the way by giving you a perspective of cash taxes it could be approximately 20 million. I think it’s a best guidance I am going to give you because when you go through the effective tax rate that’s a very-very low effective tax rate and I think probably the best scenario to work offload. One reason as we think about the non-readable aspect of our business, there is not a lot of deferred taxes, there is a lot of assets that have deferred taxes and appeared outside of the business, so effective tax rate should be pretty close with the cash, the current tax rate should be the same with the effective rate very-very close.
Operator: We’ll hear next from [Jason Mesnick] with Citi
Unidentified Analyst: Just had a quick question on the long-term deleveraging target that [indiscernible] four times net debt, is it fair to assume that bulk of that is emanating from your expectation of OIBDA growing or is there some non-QRS cash flow that will be used to de-lever? Thanks.
Jeremy Male: Jason, it’s a combination of OIBDA and debt pay down, it is primarily growth and OIBDA but it is debt pay down. Our targeting of what we’re paying dividend is a healthy percentage of our free cash flow of but out of all it and so we’re expecting that the excess or residual free cash flow after dividends, we will be paying down debt and that’s not an insignificant amount in the next couple of years but it is primarily a growth on OIBDA that may happen. Anything on M&A we’re going to do is totally superb to that. We were introduced something else on transaction we may have some other debt, but I add to that I look at our business today and how we continue to grow this business now organically. We able to grow the EBITDA and use excess cash to pay down that debt to get there and it’s a not a huge lump, it’s a dollar amount that will be paid the later of the 2015 and a dollar amount will be paid the later part of the 16, but it’s not insignificant item.
Operator: [Operator Instructions] We’ll go next Jim Goss with Barrington Research.
Jim Goss: I was just wondering if you would frame your expected role of M&A in both sides in 2015 in 2016 in terms of distributing the growth and also contributing to shift to more re-qualified assets as a share of total, are you more likely to be buying or selling or is it some combination you’re envisioning?
Jeremy Male: Thanks Jim. Since the IPO we’ve sort of been talking about our general M&A strategy is being principally focused on our REIT assets. So what that typically means would be billboard type of assets and principally and in the U.S. So that’s where we’re sort of looking for tuck-ins. We're not targeting a particular and sort of growth rate through these transactions where we’ll be opportunistic and look where there is smart deals to be done, we will do so. It’s a part of that there are some swaps or some possible disposals along the way and we’ll consider that also, but there isn’t -- we don’t actually have a kind of target sort of related growth that we expect from M&A.
Jim Goss: Okay, and just one other thing, you mentioned the film business had heading off here and that was a category that was important. As it comes back and maybe there are other examples of this, will there be some competitive issue that will help rates in certain targeted areas with sort of renewed emphasis in that industry or some others in that are important clients?
Jeremy Male: Yes, if you look at sort of TV, entertainment and movie category, and sort of combine those, it's a significant part of our business. It's 19% of our revenues. To be honest, rate is all about demand from whichever category it might be. So, as we get incremental demand it gets us to a place where we can start looking at getting rates up. Interestingly, if we think about the transit side of our business and sort of thinking about rate; obviously a lot of that [indiscernible] and actually passenger usage now [indiscernible] in most of our transit systems are getting to all time highs and that said you got to be something that we'll be talking about with advertisers because quite simply you're getting more bank for your bucks so that's where we'll be looking to see reasonably how we can start driving rates in hopefully stronger demand market.
Jim Goss: One final thing, when you changed your name I think one of the benefits to that was that you might be easier to avoid any issues with the sort of immediate company name as you're dealing with media company clients. Have you found that to be actually the case in practice?
Jeremy Male: I think probably the biggest benefit we get from the name change system, -- CBS's tremendous plan and they're a great company but for us just to have absolute control of it over our brands so what we say about Outfront is what people hear, I think that's probably the biggest benefit Jim and we think the new brand looks great, we got out of the box very quickly in terms of getting the new brand up on all of our assets I hope you've seen it some when you're add on the - or whatever happens to be and we feel very good about Outfront Media.
Operator: At this time there are no additional questions in the queue. I'd like to turn the conference back over to our speakers for any additional or closing remarks.
Jeremy Male : So, I'd just like to say, look thank you very much for your questions today. We look forward to seeing many of you next week, at an investor conference in San Francisco. Once again thank you very much for your time and attention.
Operator: That does conclude today's conference. Thank you for your participation.